Operator: Ladies and gentlemen, good day, and welcome to Full Truck Alliance's Second Quarter 2025 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mao Mao, Head of Investor Relations. Please go ahead.
Mao Mao: Thank you, operator. Please note that today's discussion will contain forward-looking statements relating to the company's future performance, which are intended to qualify for the Safe Harbor from liability as established by The U.S. Private Securities Litigation Reform Act. Such statements are not guarantees of future performance and are subject to certain risks and uncertainties, assumptions, and other factors. Some of these risks are beyond the company's control and could cause actual results to differ materially from those mentioned in today's press release and discussion. A general discussion of the risk factors that could affect Full Truck Alliance Co. Ltd.'s business and financial results is included in certain filings of the company with the SEC. The company does not undertake any obligation to update this forward-looking information except as required by law. During today's call, management will also discuss certain non-GAAP financial measures for comparison purposes only. For a definition of non-GAAP financial measures and a reconciliation of GAAP to non-GAAP financial results, please see the earnings release issued earlier today. Joining us today on the call from Full Truck Alliance Co. Ltd.'s senior management are Hui Zhang, our Founder, Chairman, and CEO, and Mr. Simon Cai, our Chief Financing and Investment Officer. Management will begin with prepared remarks, and the call will conclude with a Q&A session. As a reminder, this conference is being recorded. In addition, a webcast replay of this call will be available on Full Truck Alliance Co. Ltd.'s Investor Relations website at ir.fulltruckalliance.com. I will now turn the call over to our Founder, Chairman, and CEO, Mr. Zhang. Please go ahead, sir.
Hui Zhang: Hello, everyone, and thank you for joining us today for our second quarter 2025 earnings conference call. In the second quarter, Full Truck Alliance Co. Ltd. demonstrated remarkable resilience in navigating both opportunities and challenges in the external environment. While leveraging digitalization and intelligent technologies, we continue to help shippers reduce logistics costs and enhance operational efficiency across the road freight industry. Through improvements in fulfillment efficiency and optimization of the user experience, our platform reached a new milestone with fulfilled orders totaling million, a 23.8% year-over-year increase, underscoring the ongoing shift from offline to online operation. Our key operating metrics also reached record highs in this quarter, reflecting meaningful progress across shipper growth, trucker capacity, and matching efficiency, as well as technology enablement. On the user front, we continue to invest in long-term brand building and online user acquisition among the 30,000,000 potential SME shippers nationwide. Simultaneously, our refined operations across cargo categories optimized the shipping experience for existing users throughout the order placement, freight matching, and fulfillment process. As a result, average shipper MAUs in the second quarter exceeded 3,160,000, a 19.3% year-over-year increase, while our shipper members surpassed 1,200,000, demonstrating enhanced user engagement and stickiness. Notably, the order contribution from direct shoppers rose to 53%, reflecting continued optimization of our user base. To further boost our trucker capacity and enhance matching efficiency, we advanced our trucker credit rating and membership program, encouraging service quality improvements under the guiding principle of excellent service, more orders, higher income for truckers. We also strengthened protections and support for truckers, enhancing their sense of value and recognition. By the end of the quarter, the number of active truckers fulfilling orders over the past twelve months rose to 4,340,000, up approximately 9% year-over-year, while trucker membership approached 1,000,000, reflecting rising engagement and loyalty. Against this backdrop, our fulfillment rate reached a new high of 40.7%, an improvement of approximately seven percentage points year-over-year. On the technology front, we remain focused on addressing the core pain points in the freight matching process. Leveraging our vast and proprietary data, we advanced AI-driven enablement across multiple key processes, from matching to fulfillment externally and from sales to customer service and operations internally, enhancing both the overall user experience and our operational efficiency. Driven by our disciplined high-quality operations, we delivered another quarter of exceptional financial results. Total net revenue reached RMB 3,240,000,000, an increase of 17.2% year-over-year, with transaction service revenues surging 39.4% year-over-year to RMB 1.33 billion. Non-GAAP adjusted operating income reached RMB 1.23 billion, up 76% year-over-year, while non-GAAP adjusted net income rose 39.3% year-over-year to RMB 1.35 billion. Looking ahead, as a pioneer of new quality productive forces in the logistics sector, Full Truck Alliance Co. Ltd. will remain relentlessly user-centric. We will continue to strengthen the healthy development of both our shipper and trucker ecosystems, expand into new markets, and drive the industry's digital and intelligent transformation. Through these efforts, we aim to empower enterprises with greater logistics competitiveness. Thank you all once again. Now I'll pass the call over to Simon, who will provide an update on our second quarter's business progress and financial results.
Simon Cai: Thank you, Mr. Zhang. Thank you all for joining today's earnings conference call. I will now provide an overview of our operational highlights and financial results for 2025. Let's start with our operations. We continue to deliver steady and robust growth, once again setting new records across our key operating metrics this quarter. Fulfilled orders rose to 60,800,000, up 23.8% year-over-year, consistently outpacing broader freight industry trends. This performance was driven by the expansion of our user base, our shipper base, and ongoing improvements in fulfillment efficiency. Our fulfillment rate reached a historical high of 40.7% in the second quarter, an increase of nearly seven percentage points from the prior year, marking yet another record for our platform. Notably, the average fulfillment rate among low and medium frequency direct shippers approached 60%, up almost 10 percentage points year-over-year. Orders from these user groups now account for roughly 53% of total fulfilled orders, an increase from last quarter, reflecting ongoing optimization of our shipper user structure and our ecosystem's growing strengths. These breakthrough results underscore the effectiveness of our differentiated operational strategy and lay a strong foundation for further service quality enhancements. Moving to our user base, our average shipper MAUs reached 3.16 million in the second quarter, up 19.3% year-over-year. Total shipper members surpassed 1,200,000 by quarter-end, another all-time high driven primarily by growth in low and medium frequency direct shippers. Since its launch early last year, our 288 membership program has been well received, with average monthly active members exceeding 300,000 in the second quarter. Our twelve-month rolling retention rate for shipper members remained above 80%, demonstrating our shippers' community's strong loyalty and engagement. Turning to the trucker side, the number of active truckers fulfilling orders through our platform over the past twelve months increased to 4,340,000, hitting a record high. Meanwhile, the next month retention rate for truckers responding to orders consistently exceeded 85%. During the quarter, we further strengthened our trucker infrastructure, significantly enhancing order tracking completeness, paving the way for high operational efficiency and a better fulfillment experience for truckers. By offering high-quality freight orders along with improved guarantees and benefits, we grew our Mini Member Trucker base to over 1,000,000. These members' order acceptance frequency increased substantially, driving parallel growth in business scale and trucker engagement while further enhancing trucker stickiness. Shifting now to monetization. Supported by the dual engine of order growth and improved monetization, revenues from our transaction service achieved another quarter of high-quality growth, rising 39.4% year-over-year to RMB 1,330,000,000. Monetized order penetration reached 86.7%, up more than five percentage points from the prior year, while average monetization per order increased to RMB 25.2 from RMB 23.9. Highly targeted operations within our service ecosystem are consistently strengthening our monetization capabilities. Leveraging a more sophisticated credit rating system and tiered incentive programs for truckers, we effectively addressed the diversified needs of both high-volume and long-tail shippers. These efforts safeguarded trucker income and retention while also enhancing both order volumes and monetization efficiency. Looking ahead, we will continue to leverage our intelligent freight matching system and flexible subsidy strategies to further tap into high-value users' monetization potentials. In parallel, our refined tiered approach to trucker operations will help accelerate the buildup of strategic core transportation capacity, fostering a virtuous cycle of healthy user growth and sustained improvements in monetization efficiency. We believe these initiatives will further strengthen our momentum in 2025, delivering long-term value for our platform and stakeholders. Now I'd like to provide a brief overview of our 2025 second quarter financial results. Our total net revenues in the second quarter were RMB 3,239,100,000, representing a 17.2% increase year-over-year, primarily attributable to an increase in revenues from freight matching services. Net revenues from freight matching services, including service fees from freight brokerage models, membership fees from listing models, and commissions from transaction services, were RMB 2,747,900,000 in the second quarter, representing an increase of 18% year-over-year, primarily due to the record increase in transaction service revenue. Revenues from the freight brokerage service in the second quarter were RMB 1,177,900,000, representing an increase of 1.1% year-over-year, primarily attributed to an increase in service fee rate partially offset by a decrease in transaction volume. Revenues from the freight listing service in the second quarter were RMB 242.9 million, up 14.5% year-over-year, primarily due to the growing number of total paying members. Revenues from the transaction service in the second quarter were RMB 1,327,100,000, up 39.4% year-over-year, primarily driven by an increase in order volume, penetration rate, and per order transaction service fee. Revenues from value-added services in the second quarter were RMB 491.2 million, up 12.8% year-over-year. The increase was primarily due to growing demand for our credit solutions. Second quarter cost of revenues was RMB 1,238,400,000, a decrease of 5.6% from RMB 1,312,100,000 in the same period of 2024. The decrease was primarily due to decreases in VAT, related tax surcharges, and other tax costs net of grants from government authorities. These tax-related costs net of government grants totaled RMB 1,087,100,000, representing a decrease of 7.6% from RMB 1,076,300,000 in the same period of 2024, primarily due to a decrease in tax costs net of government refunds related to our freight brokerage service. Our sales and marketing expenses in the second quarter were RMB 433.8 million compared with RMB 372.3 million in the same period of 2024. The increase was primarily due to an increase in advertising and marketing expenses for user acquisitions. General and administrative expenses in the second quarter were RMB 170.3 million, compared with RMB 219.2 million in the same period of 2024. The decrease was primarily due to lower share-based compensation expenses. R&D expenses in the second quarter were RMB 189.6 million compared with RMB 200 million in the same period of 2024. The decrease was primarily due to lower salary and benefits expenses. Income from operations in the second quarter was RMB 1,139,600,000, an increase of 101.6% from RMB 565.4 million in the same period of 2024. Net income in the second quarter was RMB 1,264,800,000, an increase of 50.5% from RMB 840,500,000 in the same period of 2024. Under non-GAAP measures, our adjusted operating income in the second quarter was RMB 1,230,100,000, an increase of 76% from RMB 699 million in the same period of 2024. Our adjusted net income in the second quarter was RMB 1,352,100,000, an increase of 39.3% from RMB 970.9 million in the same period of 2024. Basic income per ADS was RMB 1.2 in the second quarter, compared with RMB 0.79 in the same period of 2024. Non-GAAP adjusted basic net income per ADS was RMB 1.28 in 2025, compared with RMB 0.39 in the same period of 2024. Non-GAAP adjusted diluted net income per ADS was RMB 1.27 in the second quarter, compared with RMB 0.91 in the same period of 2024. As of June 30, 2025, the company had cash and cash equivalents, restricted cash, short-term investments, long-term time deposits, and wealth management products with maturities over one year totaling RMB 29.5 billion, compared with RMB 29.2 billion as of December 31, 2024. As stated in our announcement on August 1, to ensure the sustainable development of our freight brokerage business, the company has decided to increase the freight brokerage service fee starting in August, aiming to reduce reliance on government subsidies and mitigate associated uncertainties. This adjustment may lead to higher costs for shippers, and we anticipate a significant decline in freight brokerage transaction volume beginning in the quarter ending September 30, 2025. Consequently, revenues from the freight brokerage business are expected to decrease while costs are likely to rise, which may exert some pressure on profitability. That said, we expect a shift in the freight brokerage business will have limited impact on our transaction service business. Based on this outlook, we expect our total net revenues to be between RMB 3 billion and RMB 3.617 billion for 2025, representing a year-over-year growth rate of approximately 1.3% to 4.6%. Excluding freight brokerage service, net revenues are expected to range from RMB 2.16 billion to RMB 2.26 billion, reflecting an estimated year-over-year growth rate of 23.4% to 9.1%. These forecasts are based on our current and preliminary view of the market and operational conditions, which are subject to change and cannot be predicted with reasonable accuracy as of the date hereof. That concludes our prepared remarks. We would now like to open the call to Q&A. Operator, please go ahead.
Operator: Thank you. If you wish to cancel your request, please press 2. If you are on a speakerphone, please pick up the handset. For the benefit of all participants on today's call, if you wish to ask your question to management in Chinese, please immediately repeat your question in English. Your first question comes from Eddie Huang with Morgan Stanley. Please go ahead.
Eddie Huang: Thank you, management, for taking my question. My question is regarding the fulfilled orders. We have seen that the fulfilled orders increased by 24% year-over-year in the second quarter, and the fulfillment rate increased to around 41%. Both maintained very strong growth momentum. What are the key factors driving this growth? How do you view the fulfilled order volume growth in the second half of this year, as well as for the full year? Thank you.
Simon Cai: Thank you, Eddie. In the past second quarter, our fulfilled orders continued to increase steadily, significantly outperforming the broader freight market. We attribute this strong growth to three key elements: our ongoing user base expansion, the optimization of shipper user structure, and our product and service upgrades. First, the consistently rapid expansion of both shippers and trucker user base has laid a solid foundation for order growth. On the shipper side, rising demand among the SME owners to reduce costs and improve efficiency, along with increased appetite for digital and intelligent transformation, has accelerated the shift of shippers from offline to online. Our average monthly active shippers exceeded 3,160,000 in the second quarter, hitting an all-time high. On the trucker side, more truckers who traditionally operated offline took orders to online platforms, effectively boosting transportation capacity. The continued expansion on both the supply and demand side has further supported order growth. Second, the continued optimization of our shipper user base has driven stronger order stickiness. Our high-quality shipper segment, mostly low and medium frequency direct shippers, have delivered consistent growth in average fulfilled orders per user, thanks to ongoing platform service refinement, reflecting stronger retention and stickiness. The order contribution of direct shippers further increased to 53% in the second quarter, up four percentage points year-over-year. In the meantime, our average fulfillment rate for these direct shippers surpassed 60% of thresholds for the first time. This user mix progress was a key structural driver of the overall increasing order volume and fulfillment rates. Thirdly, our further upgraded products and operational strategies have strengthened the certainty level of order fulfillment. For example, in the second quarter, we rolled out an intelligent matching system that prioritized dispatching orders to truckers closest to the shipping location before gradually expanding outwards. This close-to-far strategy effectively cut down matching time and improved the truckers' order response efficiency and fulfillment reliability. Meanwhile, on the shipper side, we have fine-tuned our shipper information intake process, helping truckers get a clearer and more complete picture of the cargo before accepting orders, which has reduced cancellations caused by information gaps. For the full year, we remain optimistic about the continued growth in our fulfilled orders. While the macro uncertainties are likely to persist in the second half, we feel our relatively positive outlook is justified given our leading edge and strong market position in the freight matching service, and the online penetration is still low. We will continue optimizing the user structure and enhancing service standards to keep driving higher quality order conversions while also refining our product and service operations to boost user engagement and retention among small and medium-sized shippers and core trucker groups. We are confident these efforts will further solidify our platform's industry leadership and bring us closer to our full-year order growth target. Thank you.
Eddie Huang: Thank you.
Operator: Your next question comes from Charlie Chen with China Renaissance. Please go ahead.
Charlie Chen: Thank you, management, for taking my questions. In the second quarter, the number of monthly active shippers reached 3,160,000, representing a year-over-year growth of 19.3%. What are the main drivers behind this growth? And could you brief us on the progress of the shipper member business in the second quarter? Thank you.
Simon Cai: Thank you, Charlie. In the second quarter, the number of monthly active shippers maintained a solid growth trajectory we have observed in the past few quarters. This momentum was primarily driven by improved user acquisition efficiency and consistent enhancement to product experience. First, we continue to optimize our user acquisition strategy. We cut back our low conversion marketing placement channels and shifted resources to high conversion channels, such as online app store advertising, achieving better ROI within a controlled budget. Shippers' willingness to engage and the conversion rate of their first postings to fulfillment both improved significantly, driving ongoing improvements in the quality of new users. Second, our efforts to increase engagement and retention among existing users contributed to the sustained MAU growth. We refined key features such as trucker trajectory completeness and real-time trucker locations, enhancing shippers' confidence in our fulfillment capabilities. This boosted both overall shipment frequency and fulfillment rates, elevating user stickiness. Sequentially, our shipper MAU growth eased slightly quarter over quarter, mainly due to reduced activity among intermediary 1688 member shippers as we stayed more focused on serving direct shippers and strengthening our platform service capabilities. Fulfillment experience and matching efficiency led more direct shippers to opt to post orders directly onto our platform, reducing the role of intermediary brokers. This shift was essentially an improvement in our platform's ecosystem quality, marking progress toward a more sustained shipper user cluster. Regarding membership programs, the number of shipper members continued to steadily increase in the second quarter, with existing shipper members totaling 1,210,000 by quarter-end. This growth was primarily driven by our ongoing enhancements to our membership programs, effective execution of our tiered pricing strategies, and stable retention among existing members. The rapid growth of mini member shippers remained the primary driver of shipper member growth. Promotion for our 288 membership program effectively lowered the initial payment threshold, driving first-time conversions among low and medium frequency direct shippers. Data shows that our tiered approach to member operations has started to pay off. Notably, in the second quarter, among the 288 members who used up their shipment allowance and chose to renew, nearly 30% upgraded to the 688 membership, demonstrating users' increasing trust and reliance on our platform services. In the meantime, retention among existing shipper members remained stable. As of the end of the second quarter, our twelve-month rolling retention rate for shipper members remained above 80%. This sustained high level over multiple quarters reflects our continuous efforts to improve member experience. Looking ahead, we will continue to focus on high-quality direct shipper operations, expanding the share of core users while naturally phasing out intermediary shippers. In terms of the membership program, we will further enhance renewal rates for mini member shippers and encourage upgrades to higher-tier members. Leveraging our tiered approach to members' operations and targeted benefits, this will enable us to boost overall payment rates and user lifecycle value, fueling our platform's order growth and enhancing transaction quality.
Charlie Chen: Thank you.
Simon Cai: Thank you.
Operator: Your next question comes from Wenjie Zhang with CICC. Please go ahead. I'll do the translation for myself. Thank you, management, for taking my question. We know that in early July, several major domestic online freight platforms have jointly signed the industry self-regulation convention. Under this context, what measures have you put in place?
Simon Cai: Thank you, Wenjie. That's a good question. The industry self-regulation convention aimed to protect truckers' legitimate rights and foster a healthier, more sustainable industry ecosystem. Our platform responded swiftly with supplementary guidance and various measures aimed at helping truckers take orders confidently, receive payment promptly, and operate with peace of mind. In terms of freight rate protection, we strengthened our oversight of shippers and provided truckers with robust support in resolving payment issues through both customer service and legal channels. We have also expanded our freight rate protection program for eligible trucker members. For orders that are not settled on time, the platform will advance or partially cover payments per established rules, ensuring that truckers' cash flow is more stable and predictable. To improve transaction fairness, we have taken steps to curb market-disrupting behaviors such as malicious order flipping, fake order taking, and frequent cancellations. Leveraging algorithm monitoring and optimization, we are able to block ultra-low-priced or otherwise unreasonable freight resources, helping safeguard truckers' earnings. Shippers or truckers who violate platform rules may face account suspension or blacklisting. At the same time, we have made reporting channels more accessible, encouraging truckers to share tips and help maintain a transparent, fair trading environment. Finally, we are enhancing communication and feedback mechanisms by regularly hosting trucker discussion panels in person, where truckers can share their thoughts on what matters most to them, including rights protection and rule optimization. By also gradually opening channels for truckers to submit reports publicly, share feedback, and track resolution, we can ensure closure of reported issues. These initiatives are designed to reinforce truckers' sense of security, satisfaction, and trust when operating on our platform, while fostering a stable, long-lasting partnership between the platform and the trucker community.
Operator: Your next question comes from Yuan Liao with Citi. Please go ahead.
Yuan Liao: Thanks, management, for taking my questions. Congrats on the strong results in the second quarter. We see that the company adjusted its freight brokerage service on August 1. What operational changes have been made, and do you observe any user behavior shift? How should we view the future prospects in the financial contribution of the Nalimba business? Thank you.
Simon Cai: Thank you. In early August, in response to the upcoming cancellation of government grants, we promptly increased the fee rate for freight brokerage service to between 10% to 11% to cover increased tax costs and other operating costs related to the business. At the operational level, we have been focused on strengthening existing customer communication and retention, with emphasis on ensuring a seamless experience for shippers placing, invoicing, and freight matching orders. At the same time, we have continued to enhance our freight matching services to maintain stable fulfillment performance. Early observations suggest that the retention of these users remains broadly in line with our expectations following the fee rate adjustment, confirming the core value of our platform's freight matching service in driving user engagement and loyalty. At the group level, we believe the adjustments to our freight brokerage business will have limited impact on public freight management service. We expect that as other platforms providing similar freight broker services complete fee rate adjustments sooner or later, both smaller players with limited value-add other than low-priced invoicing service will exit the market eventually. This is likely to bring some users back to Full Truck Alliance Co. Ltd. and support a new wave of consolidation in the freight sector, further highlighting the core value our platform delivers to both shippers and truckers. From a financial standpoint, we believe the reduced profit contribution of freight brokerage will, over the long run, help us optimize our revenue structure and key operating metrics, including profitability. It will also reduce cash flow uncertainty arising from receivables and local government grants, allowing our earnings to more accurately reflect the true value of our core operations and providing a stronger foundation for sustainable revenue and profit growth in the future. Thank you.
Operator: Your next question comes from Ritchie Sun with HSBC. Please go ahead.
Ritchie Sun: Thank you, management, for taking my question. I want to ask about the entrusted shipment business. How did this segment perform in the second quarter? And on the operations side, what were the key initiatives involved? Thank you.
Simon Cai: Thank you, Ritchie. Since the beginning of the second quarter, we have reshuffled our entrusted shipment service as part of our broader business strategy optimization. Starting in April, we streamlined product offerings by discontinuing the entrusted shipment carpooling service and focusing exclusively on the full truckload transactions under the entrusted shipment segment. This shift was driven by two considerations. First, from a product positioning perspective, the entrusted shipment business is built around providing a high-quality, highly reliable transportation experience for shippers with stringent requirements for timeliness and stability. In contrast, less-than-truckload carpooling services are primarily cost-driven, characterized by lower freight rates and less certainty in fulfillment. This inherent mismatch with our brand positioning prompted us to reshuffle the customer service and concentrate our resources on the full truckload offering, further enhancing the premium image of the entrusted shipment segment. Second, from an operational efficiency standpoint, full truckload orders in the entrusted shipment business generally achieve higher freight rates and stronger fulfillment performance, making them more attractive to truckers. This advantage was amplified in May when we fully implemented the price consistency mechanism, under which freight rates for entrusted shipment orders are notably higher than standard freight orders. The resulting income potential has increased trucker engagement and expanded the availability of high-quality transportation capacity on our platform. While the restructuring of service offerings under the entrusted shipment program led to a short-term slowdown in order volume growth, we believe this strategic adjustment will, over the medium to long term, strengthen user mindset with premium brand positioning, creating differentiated competitive advantages, and help cultivate a higher quality ecosystem of both shippers and truckers. On the monetization front, the premium pricing strategy has created a more favorable revenue environment and improved the stability in revenues from transaction service. Looking ahead, we will continue refining the shipment business model, focusing on the dual engines of efficient matching and premium service to further enhance user experience, deepen platform engagement, and solidify its role as a core pillar of our product portfolio. Thank you.
Operator: And that concludes the question and answer session. I would like to turn the conference back over to management for any additional or closing comments.
Mao Mao: Thank you once again for joining us today. If you have any further questions, please feel free to contact us at fulltruckalliance.com or TPG Investor Relations. Have a good day.